Operator: Good morning and thank you for standing by for Xunlei's Second Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. We have a Q&A session after a few management's remarks. I will now turn the turn the call over to your host today, our IR manager, Ms. Charlene Lu. Please go ahead.
Charlene Lu: Thank you, Amy. Good morning and good evening and thank you all for joining us today. Welcome to Xunlei second quarter of 2019 earnings call. I'm Charlene Lu, Investor Relations Manager at Xunlei. With me today are Mr. Lei Chen, our CEO, and Mr. Eric Zhou, our CFO. We will be happy to take your questions after our presentations. Please be limited to two questions at a time, so others can get their questions in as well. Today's conference call is being recorded and a replay of the call will be available on our IR website afterwards. Our earnings press release was distributed earlier today and is now also available on our IR website. Before we get started, please know that the discussions today will contain certain Forward-Looking Statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Such statements are based on management's current expectations under current market conditions and are subject to the risk and uncertainties that are difficult to predict, which can cause actual results to differ materially from those made in the forward-looking statements. Please refer to our SEC filings for more detailed descriptions of the risk factors that may affect our results. We do not assume any obligations to update any forward-looking statements, except as required under applicable laws. During this call, we will refer to both GAAP and non-GAAP financial measures. A reconciliation of non-GAAP to comparable GAAP measures can be found in our earnings press release. Please know that all numbers are in U.S. dollars unless otherwise stated. With that, let me hand over to our CEO, Mr. Lei Chen, for prepared remarks.
Lei Chen: Good morning and good evening, everyone. Thank you all for joining us today. Let me start with our recent corporate developments and the financial highlights of the second quarter of 2019. Then Eric will provide more details on the financial results and take you through the guidance for the third quarter of 2019. Our total revenue was approximately $47.8 million this quarter, which exceeded the top end of our earnings guidance as a result of revenue growth from our cloud computing and other internet value added services. Revenues from cloud computing and other Internet's value added services combined were $22.5 million representing an increase of 40.6% from the previous quarter. We are delighted to see organic growth in both demand for our shared cloud computing resources and our enterprise client base. Obtaining new clients such as Baidu, NetEase Games, and the Qutoutiao. During the second quarter, we made an equity investment in emerging IT products and services provider and expanded our cloud computing network capacities through aggregating idle computing resources from business cloud networking devices for our shared cloud computing business. We believe that the increased demand for our share cloud computing resources indicates a broad appreciation of our products and services and it will dirve our financial performance in future. We are deeply committed to our strategic initiatives for business development and transformation and we continue to advance our mission to empower individuals through technological innovation and development of a shared cloud computing and the blockchain based ecosystem. We are optimistic about our long-term growth prospects as we are backed by our strong technology capabilities and portfolio of product and services offerings. Now, I will briefly highlight our momentum and innovation across our businesses. We believe, shared cloud computing will be an important market for us that cannot be ignored and that will be a key driver for our long-term growth. In-line with the previous quarters, the demand for our cloud computing services remains strong driven by our success in steadily growing our enterprise client base this is reflected in the continued growth of our seller cloud IaaS sales over the last several quarters. In this quarter, we won new clients such as Baidu a leading Chinese language internet search provider. NetEase Games, a leading provider of software developed PC clients and the mobile games to worldwide users. And Qutoutiao, a Chinese mobile content aggregator contributing to our cloud computing revenue growth in the second quarter. To ensure a sufficient shared cloud computing resources for our growing client base, while constantly working to expand the scale of our network capacity through product innovation and external cooperation. Shared uplink capacities, our valuable resources that we target to commercialize and utilize through technological innovation. In addition, with the rapid development of 5G technology, we expect more intelligent devices with higher computing resources to be developed. These devices, maybe the potential cloud computing notes for our shared cloud computing network. In essence, we are creating a shared computing network by encouraging millions of participants to share their idle computing resources. With this shared cloud computing network, we provide high quality, cost effective cloud services for corporate clients. StellarCloud an important part of our shared computing and the blockchain ecosystem under development provide cloud computing services, including ad computing, functional computing, and shared a video solutions to enterprises at a much lower cost than the industry average. Early in this year, we launched a new product in our StellarCloud platform that improves the connectivity of IoT devices under complex network conditions. Our advanced technologies enable StellarCloud to provide its enterprise users with efficient and cost effective access to powerful cloud computing solutions, and can help these companies in their transition for cloud computing, including content delivery, live streaming, data storage, and artificial intelligence. As more companies go digital, we anticipate significant growth in the IoT space and other related industries, which will drive up demand for edge computing and can lead to a variety of applications. Again, we believe our shared cloud computing model and advanced technology will redefine cloud computing and bring more possibilities to the industry as future developments. We believe that not only are we record breaking in shared cloud computing, but we are also making progress and improving our blockchain infrastructure for daily use. Last year, we launched ThunderChain as part of our strategy in building a blockchain powered shared cloud computing ecosystem. We are dedicated to exploring practical adoptions of blockchain in a number of industries and sectors and in providing tools, frameworks and guidelines for blockchain development. We hope ThunderChain can become a solution for blockchain's scalability dilemma with its ability to concurrently process up to millions of transactions per second. We are constantly improving the performance of ThunderChain and have released the source code of the WebAssembly virtual machine module of ThunderChain, with accompanying protocols and documentations for application developers to experiment and develop large-scale and practical blockchain applications. So far, we have partnered with companies in different industries to develop blockchain applications with real world users. We already existed in developing dozens or blockchain projects with our high performance blockchain service. Our first hand industry insights and hands on experiences also contributed to a number of blockchain projects with domestic and foreign institutions. For instance, dramatically, we cooperated with the copyright protection center of China to support the operations of their Digital Copyrights Identifier System, which can help the CPCC's copyright authorization and transaction system to become more efficient. We also collaborate with Guangdong South New Media Corporation Limited to provide technical solutions in digital media copyright protection. Overseas, we recently won a Thailand academic blockchain project to build a blockchain infrastructure for universities affiliated healthcare institutions to facilitate accurate and efficient medical data and information sharing while ensuring patient privacy. Ultimately, patients and healthcare providers get with proper authorization will be able to access immutable clinical records to streamline diagnostic processes and improved treatment efficiency. In mid June, we announced a Joint Laboratory on blockchain technology with The Hong Kong University of Science and Technology, a world leading research institution, leveraging HKUST’s research capabilities and our industry experience, we expect to carry out more blockchain development initiatives. As we accumulate extensive blockchain related experience in both academic and industrial practice, we have applied for additional blockchain patents based on our recent blockchain initiatives accordingly. Our live streaming business rebounded this quarter and achieved good quarterly revenue growth. It's mainly due to higher user numbers than the previous quarter and the better marketing activities held during this quarter. Our live streaming platform Xunlei Live provides both video and audio based Interactive Entertainment experiences to our users. Live streamers and viewers engage and interact through bullet chatting, real time commenting, gifting and so forth. We intend to further expand our live streaming community in terms of the numbers of active live streamers and viewers and create an engaged interactive and immersive community for our valuable users. Now returning to our traditional business. Revenues from subscriptions were US$21.4 million in second quarter, up 0.9% from the previous quarter. Our cloud acceleration subscription services began in March 2009. We earned a time based subscription fee by providing our users with exclusive services, such as access to high speed online transmission, premium acceleration or access privileges. Over the years revenue from membership subscription has been a stable source of cash flow for us in our pursuit of growth and innovation. Our subscriber base was 4.3 million as of June 30, 2019, down from 4.57 million as of March 31, 2019. The average revenue per subscriber for the second quarter of 2019 was RMB33.9, up from RMB31.1 as of March 31, 2019. Mobile Xunlei, a mobile application that allows users to search, download and consume digital media content on their mobile devices, supplements, our subscription business. Many of our mobile application users also became users of our PC based Xunlei Accelerator and subscribed to our membership services afterwards. We aim to deliver an efficient, smart and safe Internet experience by continuously upgrading our technological advantages and improving our experience. Revenues generated from online advertising for US$3.9 million in the second quarter of 2019, around 5.4% from the previous quarter, mainly due to continued softness in our concentrated gaming sector advertising clients, as well as a backdrop of macroeconomic uncertainties. We are trying to diversify our sources of online advertising revenues to mitigate the impact of declining demand for game advertisers. In closing, I would like to reiterate that we are dedicated to shared cloud computing and blockchain technology. So innovative shared account computing and blockchain based ecosystem, we are developing for the next wave of technological breakthrough is key to our mission of empowering individuals through technological innovations. We expect significant growth opportunities in both fields, our shared cloud computing services, with the emergence of Internet of Things, ARAI and Big Data, as well as our high performance blockchain technology as the market matures. We believe our business is dynamic and full of opportunities. With a solid customer base and our strong R&D capabilities. We believe we are well positioned for our growth and creating long term shareholder value - we strive to build a blockchain enabled shared cloud computing platform and become a driving force of technological innovation. With that, I will now turn the call over to Eric to review the financial results and the guidance for our third quarter 2019. Eric, please.
Eric Zhou: Thank you, Lei. Hello, everyone and thanks again for joining Xunleis's technology reporter 2019 conference call. And now let's go through the details of our financial results. Total revenues were $47.8 million up 15.7% from the previous quarter. Revenue from could computing and other - combined to $22.5 million representing an increase of 40.6% on a sequential basis. This increase was mainly due to a higher demand for our cloud computing services and client customers as well increase in our active live streaming user members and enhanced live streaming marketing activities held during the quarter. Revenues from subscribers were 21.4 million, up 9% from the previous quarter. The number of subscribers of course 4.3 million as of June 30, 2019 compared to a 4.57 million as of March 31, 2019. And the average revenue per subscriber was RMB33.9, compared with RMB33.1 in the previous quarter. Revenues from online advertising were US$3.9 million down 5.4% from the previous quarter. Cost of revenue was US$25.3 million representing 52.9% of our total revenues. Bandwidth costs in the second quarter of 2019 were at US$12.7 million, representing 26.6% of our total revenues, compared with US$10.8 million or 26% of the total revenues in the previous quarter. The remaining parts of revenues are mainly made up of live streaming revenue sharing costs and cloud computing costs. Gross profit for the second quarter was US$22.3 million up 5.5% from the first quarter driven by the improved cloud computing and live streaming business. Gross margin was 46.7% in the second quarter compared with 51.4% in Q1. The decrease in gross margin was mainly due to the lower margin associated with revenues from a seasonal live streaming campaign as well as the rapid expansion of our cloud computing network capacity. Research and development expenses for the second quarter of 2019 was US$17.8 million, presenting 37.3% of our total revenues, compared with US$18.8 million, or 45.6% of our total revenues in the previous quarter. The decrease was mainly due to employee compensation costs for savings. Sales and marketing expenses for the second quarter of 2019 were US$6.8 million, representing 14.3% of our total revenues, down from US$7.6 million or 18.4% of our total revenues in the previous quarter. The drop was mainly due to less one-time marketing expenses incurred this quarter. General and administrative expenses for the second quarter of 2019 were US$10.2 million, representing 21.4% of our total revenues, compared with US$9.4 million or 22.6% of our total revenues in the previous quarter. Impairment of assets, net for the second quarter of 2019 was a credit of US$0.7 million, representing a net recovery of previously impaired assets, compared with a credit balance of US$0.9 million in the previous quarter. Operating loss was US$11.8 million, compared with an operating loss of US$13.7 million in the first quarter. The decrease was mainly due to increased revenue from cloud computing sales and live streaming income and less operating expenses incurred during the quarter. Net loss was approximately US$2 million in the second quarter of 2019, compared with a net loss of US$8.6 million in the previous quarter. Non-GAAP net loss was US$0.7 million in Q2, compared with non-GAAP net loss of US$7.2 million in Q1. The decreased net loss and non-GAAP net loss were primarily due to an approximately US$6.7 million gain on disposal of LinkToken operations and its related assets and liabilities. Diluted loss per ADS in the second quarter of 2019 was US$0.03, compared with a diluted loss per ADS of US$0.13 in the previous quarter. As of June 30, 2019, the Company had cash, cash equivalents and short-term investments of US$284.8 million and amount per ADS was US$4.20. And finally, I would like to turn to our guidance for the third quarter of 2019. We expect total revenues to be between US$45 million and US$51 million for the next quarter. The midpoint of the range represents a quarter-over-quarter increase of about 0.5%. With that, we conclude our prepared remarks today and I will now turn the floor over to the operator for your questions. Operator, we are now taking questions.
Operator: Thank you. [Operator Instructions] We have a question from the line of [Steve Chan of Talib Partners] (Ph).
UnidentifiedAnalyst: Thank you for taking that question. My first question is regarding your one-time gain. So you nooked approximately US$6.7 million one-time gains, is it a cash transaction?
Lei Chen: It consists of both cash and non-cash gains. Approximately about RMB20 million were the result in cash proceeds and the rest was due to cancelation of future liabilities. Thank you.
UnidentifiedAnalyst: Okay. So my second question is regarding your recent updates oversees structural projects in Thailand. So what is the significance of this project? Thank you.
Lei Chen: About the project in Thailand, the project is designed to o facilitate accurate and efficient medical data and information sharing while ensuring patients privacy. Both patients and authorized healthcare providers will be able to access immutable clinical records to streamline diagnostic processes and improve treatment efficiency. The project will create a generic data access layer for the databases of his medical facilities to support database independent access of patient data and the break down the walls between different facilities to enable information sharing and interconnection. Healthcare providers in remote areas will be able to obtain patient data from higher level hospitals and to provide accurate analysis of the patient's conditions by leveraging equal access to information. Blockchains as a distributed and a treatable system will also ensure that a patient records not to be tampered with. In the event of a medical incident, this provides a credible chain of custody. In addition, when the patient record is being requested, the patient may authorize access using ThunderChain’s privacy protection technology to ensure that patient data is made available only to the authorized healthcare providers that is fully protecting data security. We believe this project may provide references for enhancing interconnection between health information systems in China as well and improving the quality of medical services for there are similar issues facing hospitals in China, especially in remote areas with limited resources. So that is the overview of the project. And thank you again for the question.
Steve Chan: Thank you.
Operator: Thank you. [Operator Instructions] No question as of this time. Please continue.
Lei Chen: Alright. That is all for today. Thank you again for your kind attention. Please contact us, if you have any questions and have a good day. Operator.
Operator: Thank you. Ladies and gentlemen that does conclude the conference for today and thank you for participating. You may now all disconnect.